Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Eltek Limited Second Quarter 2014 Financial Results conference call. All participants are at present in a listen-only mode. Following management’s formal presentation, instructions will be given for the question and answer session. For operator assistance during the conference, please press star, zero. As a reminder, this conference is being recorded August 27, 2014. Before I turn the call over to Mr. Yitzhak Nissan, Chairman of the Board, Mr. Roberto Tulman, Interim CEO and CTO, and Amnon Shemer, CFO, I’d like to remind participants that comments made during this conference call may contain projections or other forward-looking statements regarding future events or the future financial performance of Eltek Limited. These statements are only projections and reflect the current beliefs and expectations of the Company. Actual events or results may differ materially. With that said, it is routine for internal projections and expectations to change as quarters progress. All forward-looking statements are based on information available to the Company on the date hereof, and the Company assumes no obligation to update such statements. Please refer to the documents the Company files from time to time with the SEC, specifically the Company’s annual report on Form 20-F and periodic reports on Form 6-K and the Safe Harbor statements contained in the Company’s press releases. These documents contain and identify important factors that could cause the Company’s actual results to differ materially from those contained in its projections or forward-looking statements which the Company urges all investors to consider. Eltek undertakes no obligation to publicly release their revisions to such forward-looking statements that may be made due to subsequent events or circumstances after the date hereof, or to reflect the occurrence of unanticipated events. I will now turn the call over to Mr. Amnon Shemer. Mr. Shemer, please begin.
Amnon Shemer : Good morning. Thank you for joining us, and welcome to Eltek’s 2014 second quarter earnings call. Present on today’s call will be Yitzhak Nissan, Chairman of the Board of Directors; Roberto Tulman, interim Chief Executive Officer and CTO; and myself. By now everyone should have access to our second quarter press release, which was released earlier today. If you have not received the release, it is available on our website at www.eltekglobal.com. Our call today will begin with my presentation on Eltek’s financial results for the second quarter followed by an overview of our business and a summary of the principal factors that affected Eltek’s operating results by our Chairman, Yitzhak Nissan. At the conclusion of these presentations, there will be an opportunity for questions. During this conference call, we will be discussing non-GAAP financial results such as EBITDA. Eltek uses EBITDA as a non-GAAP financial performance measurement. Please see our earnings release for our definition of and the reasons for its use. Revenues for the quarter ended June 30, 2014 were $12 million compared to revenues of $12.4 million in the second quarter of 2013. Gross profit for the second quarter of 2014 was $1.7 million, 13.9% of revenues, compared to gross profit of $2.1 million or 17% of revenues in the second quarter of 2013. Operating loss for the second quarter of 2014 was $65,000 compared to operating profit of $491,000 in the second quarter of 2013. Net loss for the second quarter of 2014 was $125,000 or $0.01 per fully diluted share compared to a net profit of $339,000 or $0.05 per fully diluted share in the second quarter of 2013. EBITDA – in the second quarter of 2014, Eltek had EBITDA of $480,000 compared to EBITDA of $932,000 in the second quarter of 2013. During the first six months of 2014, Eltek had EBITDA of $834,000 compared to EBITDA of $1.5 million in the first six months of 2013. I will now turn the call over to Yitzhak Nissan for his overview of our business and the key factors that affected our second quarter operating results. Yitzhak?
Yitzhak Nissan: Thank you, Amnon, and good morning to everyone. The decrease in our operating results was mainly because of two reasons: one, a decline in orders mainly for a key project; and the second, a 6.6% decline in the U.S. dollar exchange rate compared to the New Israeli shekel. We have implemented several important changes to improve our performance, such as lowering our costs by reorganizing the Company's management structure, implementing the new equipment that had been ordered, and third, to encourage new customers to order their boards from Eltek. These changes have the potential to increase revenues and profitability that will allow Eltek to supply more orders under a similar operating expense structure and to receive premium orders that require a short delivery time. The ability to provide this service will allow Eltek to solidify and create long-term relationships with current and new clients. Such service is an important factor that customers expect from their primarily bare board supplier. We assume that the reorganization and management downsizing will require us to record a one-time expense of approximately $400,000 in the third quarter; however, we believe that we have a clear technology edge and with the steps that we are taking will leverage our competitive advantages. As you know, Mr. Reichart, who has been the Company’s CEO for 22 years, has stepped down. Mr. Roberto Tulman, our CTO, has assumed the position of interim CEO. I want to take this opportunity to thank Mr. Reichart for his long service and achievements as the Company CEO and to wish Roberto good luck in fulfilling this position. It is my intention to serve Eltek as both Chairman and CEO of the Company. Together with Roberto Tulman, who will be appointed as Chief Operating Officer, we intend to implement additional steps to increase the Company’s revenues and to improve its results. We are now ready to take your questions.
Operator: [Operator instructions] The first question is from [Robert Simcoe] (ph). Please go ahead.
Unidentified Analyst: Hi, my name is Robert Simcoe, I’m an investor. What I’d really like to know is whether you expect the Company to grow in the near future. I know you’re putting a lot of equipment in and predicting that it will—I thought they were predicting that it would expand by the end of this year. That’s what everybody’s looking for, whether the Company is going to become a growing company again. Can you comment on that?
Yitzhak Nissan: Thank you for your question. I hope of course that all our efforts will result in growth in the company, but as you know, I can’t expect everything for sure. We are doing all our best. That’s why we have changed our management team and that’s why we have put money in order to buy equipment, and we will see in the near future, I hope, the results.
Unidentified Analyst: Can I ask a second question?
Yitzhak Nissan: Yes, please.
Unidentified Analyst: How much money are you investing in equipment?
Yitzhak Nissan: We are putting—we invested about $4 million in new equipment.
Unidentified Analyst: So that’s pretty large investment relative to the size of the company, so I assume that you’re optimistic. I guess you’re allowed to say whether you’re optimistic or not?
Yitzhak Nissan: I don’t know, but this is the amount of money. Maybe I was—I went a little bit down, maybe it’s a little bit more than $4 million which we are going to invest. It’s mostly already invested, and I guess as you said, pretty much money and I hope they will do what I am expecting that they will do.
Unidentified Analyst: All right, and when do you think that will start having an effect?
Yitzhak Nissan: Sorry, could you repeat please the question?
Unidentified Analyst: When do you think orders—or when do you think you’ll have the capability to increase sales based on that equipment?
Yitzhak Nissan: Oh, some of the equipment already has been installed. Some of them are in shipping, some of them is going to be here by the end of the year, so I expect everything will be operating in a good position in the beginning of next year.
Unidentified Analyst: Okay. All right, well thank you.
Yitzhak Nissan: You’re welcome.
Operator: If there are any additional questions, please press star, one. If you wish to cancel your request, please press star, two. Please stand by while we poll for more questions. There are no further questions at this time. Before I ask Mr. Nissan to go ahead with his closing statement, I’d like to remind participants that a replay of this call will be available tomorrow on Eltek’s website, www.eltek.co.il. Mr. Nissan, would you like to make your concluding statement?
Yitzhak Nissan: Thank you all for your participation and your interest in Eltek. Eltek is positioning itself for greater success, and we hope you will join us to hear more about the company in future events. Thank you.
Operator: This concludes the Eltek Limited Second Quarter 2014 Financial Results conference call. Thank you for your participation. You may go ahead and disconnect.